Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator:   00:05 Good day ladies and gentlemen, and welcome to the Inuvo Fourth Quarter and Full-Year 2021 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Valter Pinto, Managing Director of KCSA Strategic Communications. Please go ahead, sir.
Valter Pinto: 00:23 Thank you, operator, and good afternoon. I'd like to thank everyone for joining us today for the Inuvo fourth quarter and full-year 2021 shareholder update conference call. Today, Inuvo's Chief Executive Officer, Richard Howe; and Chief Financial Officer Wally Ruiz will be your presenters on the call. We'd like to remind our shareholders that we anticipate filing our 10-K with the Securities and Exchange Commission this evening, March 17, 2022. 00:50 Before we begin, I'm going to review the company's Safe Harbor Statement. The statements in this conference call that are not descriptions of historical facts are forward-looking statements related to future events. And as such, all forward-looking statements are made pursuant to the Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties and actual results may differ materially. When used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to Inuvo or are such are forward-looking statement. Investors are cautioned that all forward-looking statements involve risks and uncertainties which may cause actual results to differ from those anticipated by Inuvo at this time. In addition, other risks are more fully described in Inuvo's public filings with the U.S. Securities and Exchange Commission, which can be reviewed at sec.gov. 01:41 With that, I'd now like to turn the call over to CEO, Richard Howe.
Richard Howe: 01:46 Thanks Valter and thanks everyone for joining us today. We had another very strong fourth quarter where for the 3 months ended December 31, 2021, we delivered $19.7 million in revenue, which was up 53% year-over-year and up 17% sequentially. Revenue for the year was also up significantly at 34% to $59.8 million for the year. 02:13 Now, what is particularly encouraging about revenue within the year 2021 is how it accelerated between Q2 and Q4, where the company's growth rates year-over-year were 66%, 83% and as previously mentioned a second ago 53% in the fourth quarter. Overall, gross margins remained strong at an average of roughly 73% for the year. On a revenue basis, both the ValidClick and the IntentKey platforms were up materially year-over-year. 02:54 Additionally, and as we had been messaging throughout 2021, we were successful delivering a positive adjusted EBITDA in the fourth quarter of 2021 and I'm pleased to report that that adjusted EBITDA was $466,000. The balance sheet remains strong as of December 31, 2021 with no debt and over $13 million in cash and marketable securities. The company has access to an unused $5 million line of credit and we are currently in the middle of renegotiating that with new terms and conditions with a number of different vendors that we're talking to, and we expect to be able to talk about that more, probably on the Q1 conference call. The company is not currently in need of additional capital. 03:52 Now, we had a number of significant first’s in the company's history in 2021, and I'd like to talk through a number of those with you here today. At the end of 2019 and just before the pandemic, approximately 60% of our company revenue was concentrated in a single client. We had a strategy to reduce that risk and I'm pleased to report for the first time in the company's history revenue was more evenly distributed across clients. In fact, in the fourth quarter the top 5 client’s amounted to roughly 22%, 19%, 13%, 12% and 8% respectively of the revenue in that fourth quarter. 04:48 As was mentioned in my opening remarks, we also grew an impressive 66%, 83% and 53% year-over-year in the second through fourth quarters, and this was in part because we also had an average cash balance of roughly $16 million in the year. Both of these growth rates and the availability of cash to fund those growth rates were first for Inuvo. Strategically, we've long recognized that the solutions provided by the ValidClick and IntentKey platforms were not all that dissimilar. As such, we knew we could command larger media budgets by packaging a media and technology service that included the social and search channels of ValidClick with the programmatic channels of the IntentKey. In 2021 the ValidClick team delivered over $3 million of revenue that was attributable to client shared with the IntentKey. This was a first for our company. Additionally, and as part of serving these multi-channel solutions to several clients in 2021 we learned that many of those clients wanted to also place ads within traditional television. We saw this as an opportunity to ensure as traditional television continues to migrate to connected television that we would be the company that could move that budget across those channels for that client. We delivered roughly $2.5 million of linear television for clients in 2021 using the power of the IntentKey’s artificial intelligence to help us make decisions about program placements. This was a first for Inuvo. 06:53 Now, one of the consequences of running multichannel media solutions is the development and management of the various client based data warehousing, reporting and optimization technologies associated with reporting on the performance of these solutions for those clients. These capabilities were successfully deployed for our clients in 2021 and this in turn has given us the confidence that we can now scale these services. The deployment of systems necessary to support this level of media complexity was also a first for our company in 2021. 07:38 Larger media clients all have creative agencies they work with who provide us with the creative assets necessary to deliver our service using our artificial intelligence. As the IntentKey has grown, so too has our involvement with these creative agencies, where we are routinely being asked by our clients to present the insights from the IntentKey to these creative agencies, so they can have ideas from which to develop those assets. This shift from creative assets focused on who people are to creative assets using the IntentKey based on why people are interested is having a meaningful effect on our clients' businesses and is another significant differentiator associated with our technology. This level of creative involvement was yet another first for Inuvo. 08:44 As it relates to the marketing of our own company, we signed a deal in 2021 we're in Inuvo will be a premier sponsor for a new category of conference within advertising, built specifically around artificial intelligence. We expect this event to occur around mid-year and in New York. This will be a first in our company's history. 09:12 Shifting now to a few technical firsts. As you all know, the IntentKey brain works much like a human brain, in that our brains are giant libraries and the neurons in our brains are the books in that library. We make decisions by linking together these books. Now, while the human brain is limited to understanding only the things it had ever been thought, the IntentKey understands the collective knowledge contained within the Internet, because the Internet was in fact its teacher. 09:47 Updating the core IntentKey brain is not something that needs to happen frequently as it already possesses trillions of individual connections between known concepts. So while for example, the IntentKey would be able to link an iPhone with Apple, it might only be able to indirectly link the newest iPhone 13 with Apple, because that direct connection had not been trained. 10:18 In 2021, we expanded the number of concepts understood by the IntentKey and in so doing, also designed a framework for enhancing yet again the IntentKey, in a way that would allow it to be able to understand some of the newer elements of our lexicon. We are talking about things like hash tags and emojis for example. This major revision to the brain behind the IntentKey was a first for us. 10:52 In 2021, we also deployed and signed new clients for the SaaS version of the IntentKey. This product was primarily designed to serve the needs of the agency market where media agencies typically want to run campaigns for their clients directly. This was a first for Inuvo, and it has provided a means to expand our markets and our gross profits. 11:19 Within our ValidClick platform, we have recognized that media buying opportunities in search and social tend to be opportunistic and of limited duration. This meant that we needed to develop technologies that could adapt to these opportunities by automatically accelerating and decelerating media purchasing on behalf of clients, so we can take advantage of these just in time changes. We implemented this technological capability in 2021 and it was a first for the ValidClick platform. 12:01 Now, we also had some client firsts in 2021. In the fourth quarter we delivered an IntentKey driven multi-channel media program for our Universal Pictures adaptation of a successful book. This was particularly challenging because the marketing program itself required execution over a short period of time. It was a great test of the IntentKey’s ability to deploy quickly and a testament to the AI proficiency at identifying and marketing to prospective moviegoers in real time. This was another first for Inuvo. 12:43 In addition to this movie client, we had several other wins in the year, that included an electric vehicle manufacturer, a PET technology provider, an enterprise software vendor, universities, a bank, an online game manufacturer, a high-end gym and many, many more. Across all these and other customers, the IntentKey continued to exceed expectations having delivered on average roughly 50% improvement over the goals these clients set for us within the year. 13:23 What our performance and these firsts should signal is that, we have a technology, we have the people, we have the services and the market required to build a large company. When this readiness is complemented by a once in a decade consumer privacy driven catalyst for which our technology has a solution, we get excited about our potential. The use of consumer data has been the foundation of advertising for decades. Privacy concerns among consumers is going to eliminate the use of that consumer data for prospecting new clients. And when it takes hold, it will impact $200 billion of media spend. We have a solution to this industry challenge. 14:20 With that, I'd like to now turn the call over to Wally for a more detailed assessment of our financial performance.
Wally Ruiz: 14:27 Thank you, Rich. Good afternoon, everyone. A recap of the financial results of our fourth quarter -- the fourth quarter of 2021. As Rich mentioned, Inuvo reported revenue of $19.7 million for the quarter ended December 31, 2021, this compares to $12.9 million reported in the fourth quarter of the prior year. Both platforms, ValidClick and IntentKey exceeded the prior year. ValidClick revenue exceeded the revenue in the fourth quarter of the prior year by 26% and the IntentKey revenue for the 3 months that ended December 31, 2021 exceeded the prior-year quarter by approximately 121%, primarily due to the acquisition of new customers, some of the customers that Rich referred to earlier. 15:25 IntentKey revenue represented 41% of the total revenue in this year's quarter compared to 28% in the same quarter last year. We expect IntentKey revenue to continue to grow as a percent of the total revenue. Inuvo gross margins decreased in the fourth quarter to 57% compared to 83% in the same quarter last year. The IntentKey gross margins were 37% in the fourth quarter compared to 45% in the same quarter last year. Our new customers are requiring us to deliver ads in a multi-channel environment. The different channels have different gross margins, so we attempt to optimize gross margins, we want to deliver to customers the multi-channel campaigns that they require. 16:19 ValidClick gross margins were 71% in the fourth quarter compared to 99% in the same quarter last year. As mentioned, we have now integrated the ValidClick services with the IntentKey services as part of delivering this multichannel capability to clients. Whereas in the prior year, most of the ValidClick cost was traffic acquisition, and as such, not included in the cost of revenue. In 2021, for clients where we did deliver a multi-channel solution the media expenses were considered cost of revenue. 16:58 Operating expenses were $12.3 million in the fourth quarter of 2021 compared to $12.6 million in the prior year, a decrease of $300,000. The largest component of operating expense is marketing costs. Marketing costs are predominantly traffic acquisition costs associated with ValidClick. It is the largest expense associated with the ValidClick platform. Marketing costs were $7.4 million in the fourth quarter of this year compared to $8.3 million in the same quarter last year. 17:34 Compensation expense was $2.9 million in the fourth quarter this year compared to $2.4 million in the prior year, primarily due to higher stock-based compensation expense, and to a lesser degree higher employee salary cost. Our full-time employment was 75 on December 31, 2021 compared to 71 on the same date in 2020. The majority of the increase in the head count occurred within sales, sales support and account management for the IntentKey. 18:11 Selling, general and administrative expense increased $50,000 in the fourth quarter this year as compared to the prior year, due predominantly to depreciation and amortization expense. Net interest expense was $50,000 in the fourth quarter of 2021 compared to $2,000 expense in the same quarter of last year. This year's expense is approximately $11,000 that is associated with leasing of IT equipment and other ongoing commitments. Also, the larger component in this year's quarter is approximately $39,000 resulting from the re-class of marketable securities, as available for sale and showing its fair market value change in other comprehensive income. 19:08 We had other expense of $158,000 in the fourth quarter of this year due to an unrealized loss from marketable securities. This loss was partially offset by an unrealized gain of $54,000 that's associated with debt securities and is now included with the other comprehensive loss. 19:34 We reported net loss of $1.2 million or $0.01 per basic share compared to $715,000 net loss or $0.01 per basic share in the same quarter last year. Non-cash based expenses totaled approximately $1.5 million in the quarter. Adjusted EBITDA for the quarter ended December 31, 2021 was $466,000 compared to $347,000 last year. On December 31 of 2021, we had cash and cash equivalents and marketable securities of $13.3 million and a net working capital of $12.4 million. In addition, we have a $5 million working capital line of credit, which currently has no outstanding balance. 20:28 We maintain a simple cap structure with 119.5 million common shares outstanding, approximately 4 million employee restricted stock units outstanding through an equity incentive plan and about 300,000 warrants for the purchase of common stock. 20:52 With that, I'd like to return the call to Rich for closing remarks.
Richard Howe: 20:58 Okay. Yeah. Thanks, Wally. We had a very strong year with a compounded quarterly growth rate between Q1 and Q4 of approximately 23%. We had a year-over-year overall growth rate of 34% and we had accelerated growth rates between Q2 and Q4 of 66%, 83% and 53% year-over-year. We had a positive adjusted EBITDA in the fourth quarter of $466,000. 21:24 We expect year-over-year growth in the first quarter of 2022 to remain strong. With this once in a decade opportunity associated with privacy, we plan to run the businesses close to breakeven on an adjusted EBITDA basis for the year, so we can optimize towards capturing market share over the next few years, while enterprises are open to a change in service providers because of the challenges facing this industry. 21:54 Our balance sheet is currently strong enough to accommodate the working capital needs of the growing business. And as a result, we have no immediate needs to raise capital. 22:03I will now turn the call over to the operator for questions. Kyle?
Operator: 22:09 Thank you. [Operator Instructions] We take our first question from Brian Kinstlinger with Alliance Global Partners. Your line is open. Please go ahead.
Unidentified Participant: 22:41 Hi, this is Matt in for Brian. So first of all, how many active logos did you have running campaigns with IntentKey during the December quarter compared to the end of 2020?
Richard Howe: 22:56 I don't know the answer. I think we had roughly 90 or so different ones, I don't know how that compares against the prior year, Matt. Up to around 90 now.
Unidentified Participant: 23:07 Yeah, understood. And a second part of that question is, can you possibly quantify how much of IntentKey’s growth is related to these new logos compared to larger campaigns or increased usage from existing customers?
Richard Howe: 23:25 A lot of the growth is on the back of new clients, not existing clients. By the way, existing clients are growing as well, but yes, the growth rate has been accelerated in large part by signing up bigger clients with bigger media budgets.
Unidentified Participant: 23:46 Understood. Thank you. And what's the average size of campaign that, like, IntentKey would be running today? And have you seen growth in the average size of a campaign from 6 or 12 months ago?
Richard Howe: 24:02 I don't know what the average size is, but it's definitely bigger now than it was 12 months ago.
Unidentified Participant: 24:09 Okay. And with the changes that prohibit cookies, how are the prospective brands responding to that -- to the AI ad tech that uses first party data and what does the company have to do to accelerate that?
Richard Howe: 24:24 Yeah. So I'm going to rephrase the question. We don't use any data at all and that's part of the significant advantage of our technology. When you refer to first-party, there is somehow a misnomer that just because of the data is your, you have free reign to use the consumers' data, and technically there are work arounds for doing that and some companies may be designing solutions for that, but we think strongly that you're going to be opposing the desires of the actual consumer themselves. So that's not a path we ever wanted to go to. So our technology does not require any consumer data. No, whether it's for first party, second party, third party, nobody's party, it doesn't use any. And that is the advantage of it. And I'd say the answer is, as a result of the growth rate you're seeing, our message is responding and resounding with clients and prospects, because they recognize: one, that there's this privacy issue; and 2, there is a solution here that works and works better than actually using consumer data, so you might ask yourself, why wouldn't -- why wouldn't everybody want to give it a role.
Unidentified Participant: 25:36 Great. Thanks so much.
Richard Howe: 25:39 You bet.
Operator: 25:43 [Operator Instructions] We take our next question from Jack Vander Aarde with Maxim Group. Your line is open. Please go ahead.
Jack Vander Aarde: 25:54 Great. Hi, Rich, hi Wally. Congrats on the strong results. Thanks for taking my questions. So last quarter you announced 10 million plus of new IntentKey orders, during the third quarter, I think that was new customer orders received, which are expected to be delivered over the next 9 months or so. Just a couple of things on that. Can you provide what new IntentKey orders were for this fourth quarter? And then of the $10 million from last quarter, how much of that was recognized during the fourth quarter?
Richard Howe: 26:29 I don't know how much of it was in the first quarter. Wally, you might know that. I don't know. Can you answer some of these questions of the $10 million we signed, how much of it was Q2 and Q1. I don't know the answer to that question.
Wally Ruiz: 26:44 Yeah. So, a small portion was actually recognized in December, and -- but it was a small percentage of the $10 million and probably -- we're probably less than 50% by February. So there still 50% to 60% to go on the $10 million.
Jack Vander Aarde: 27:17 Got it. That’s helpful color.
Richard Howe: 27:18 And maybe Jack -- Yeah, if I could say something else about that. I mean in at least one case that I'm aware of, we've already signed a renewal, if you will, right, for some added number of months as is the case. So I don't think -- I don't want people to think we signed up these deals and they're going away. That's not how it works, right? We've done a pretty good job for these clients and we fully expect to just renew them. And as I said in one case, I know we're renewing one right now.
Jack Vander Aarde: 27:49 Got you. Understood, understood. And then, as far as IntentKey SaaS. I think you guys mentioned some comments on it, I didn't quite catch that. So can you just provide maybe a summary recap of what's going out with the IntentKey SaaS from a revenue perspective, client demand for it and then how you see that growing, IntentKey SaaS going forward?
Richard Howe: 28:10 Yeah. It's a non-material component of our overall revenue at this point, but we've had a number of clients that we delivered the service for within the year to basically understand what are the nuances associated with having to do that. So that is a bit of a different beast. Our primary demand right now seems to be coming from direct clients who want us to run the service ourselves. And I think candidly over the next little while that’s probably the best idea for us, because if we're in control of the deployment of our own technology and the running of the campaigns associated with our own technology where we're probably going to do better than turning it over to someone else to do that. 29:05 So we will sell and continue to sell to the SaaS version of the product, but that component won't be growing, probably as fast as we might have thought earlier, simply because we think the demand right now is coming from the full service side.
Jack Vander Aarde: 29:21 Okay, understood. And then just maybe are you noticing any pickup in new clients, potential clients knocking on your door because of this looming kind of upcoming cookie less future with Google [indiscernible]? Are you starting to get a sense, like if there is any sort of panic or there's just confusion or any change in behavior from potential clients and existing clients and how they're going to run ad campaigns when they can’t use third-party cookies?
Richard Howe: 29:56 I think the word you used confusion is probably the best word. I don't know, most of the people that we deal with and the clients we deal with are pretty sophisticated. So panic is probably not a word that you see. But I do think there's a lot of confusion. And in part, I think that confusion is coming from the existing vendors who are telling them that maybe the problem is not as bad and they've got a pretty good solution for it and maybe that's reducing the panic. But confusion, yes, and an increased discussion like an increasing amount of clients who want to have a discussion specifically about this, I would say absolutely on that. But it's kind of what we're leading with these days, so that we lay it right out there on the table that we do have something that can work here.
Jack Vander Aarde: 30:51 Got it. And then just where would you say you are -- it's my last question. In terms of the overall integration or merging of the technologies, IntentKey and ValidClick, maybe there is not a finite plan, but where would you say you are in the -- in terms of like, if we were to do a baseball analogy in terms of merging the capability together? And what you're starting to realize they are capable of doing?
Richard Howe: 31:16 I hate to say we're there, but we're serving multiple clients now with both sides and it's all working fine. And we just recently signed up another one where we're using both and it's like it's working. In both sides they are doing what they're supposed to do and we -- I don't want to say we've got all figured out, because there's always things that come up. But I'm not worried anymore about that, which is why in my script I said, we're now pretty confident that we can scale this and not have to worry about it. Meaning, if I found another one tomorrow or 2 tomorrow or 10 tomorrow, the teams know how to do it sort of the people issues associated with that. So I think we've got that figured out.
Jack Vander Aarde: 32:02 Excellent. That's great to hear. That's it for me. I appreciate. Congrats again on the results. Thanks.
Richard Howe: 32:08 You bet, Jack.
Operator: 32:13 [Operator Instructions] It appears there are no further question at this time. I'd like to turn the conference back to you, Richard Howe, for any additional or closing remarks.
Richard Howe: 32:29 Thanks, Kyle. And of course, as always I would like to thank everyone who joined us on the call today and we appreciate your continued interest in our company.
Operator: 32:43 This concludes today's conference. Thank you for your participation. You may now disconnect.